Operator: Good afternoon. Welcome to Fabrinet's Financial Results Conference Call for the Second Quarter of Fiscal Year 2022. [Operator Instructions] As a reminder, today's call is being recorded. I would now like to turn the call over to your host, Garo Toomajanian, Investor Relations.
Garo Toomajanian: Thank you, operator, and good afternoon, everyone. Thank you for joining us on today's conference call to discuss Fabrinet's financial and operating results for the second quarter of fiscal year 2022, which ended December 24, 2022. With me on the call today are Seamus Grady, Chief Executive Officer; and Csaba Sverha,  Chief Financial Officer. This call is being webcast, and a replay will be available on the Investors section of our website located at investor.fabrinet.com. During this call, we will present both GAAP and non-GAAP financial measures. Please refer to the Investors section of our website for important information, including our earnings press release and investor presentation, which include our GAAP to non-GAAP reconciliation. In addition, today's discussion will contain forward-looking statements about the future financial performance of the company. Forward-looking statements are subject to risks and uncertainties that could cause actual results to differ materially from management's current expectations. These statements reflect our opinions only as of the date of this presentation, and we undertake no obligation to revise them in light of new information or future events, except as required by law. For a description of the risk factors that may affect our results, please refer to our recent SEC filings, in particular, the section captioned Risk Factors in our Form 10-Q filed on November 02, 2021. We will begin the call with remarks from Seamus and Csaba, followed by time for questions. I would now like to turn the call over to Fabrinet's CEO, Seamus Grady. Seamus?
Seamus Grady: Thank you, Garo. Good afternoon, everyone, and thank you for joining us on today's conference call. We're very pleased with our results for the second quarter of fiscal 2022. Revenue was $566.6 million and non-GAAP net income was $1.50 per share, both above the top end of our guidance ranges. I am particularly pleased with our team's ability to continue to manage through ongoing industry wide supply constraints and we are confident that we can continue to deliver strong performance levels as we look ahead. Looking at the quarter in more detail revenue headwinds from supply chain constraints were within our expected range of $25 million to $30 million. I'm impressed with our team's ability to navigate these constraints to drive continued growth. By end markets we had another strong quarter for optical communications with the telecom and datacom revenue increased sequentially and year over year. Non-optical communications revenue was essentially flat from the first quarter with newer programs offsetting small declines in industrial, laser and automotive where supply chain constraints primarily impacted traditional automotive products. Looking forward, we don't see signs of any meaningful relief from component shortages in the near term. We continue to mitigate these impacts to the best of our ability. To support our growth well into the future, the expansion underway at our Chonburi facility remains on track for completion at the end of our fiscal year. Given the strong demand trends we are seeing, the opening of our new 1 million square foot building will be well timed to meet customer needs for additional space. In summary, we're very pleased with our execution, which helped produce another record quarter for the company. With continued strong demand trends and effective supply management we're optimistic we'll be able to deliver another strong performance in Q3. Now, I'd like to turn the call over to Csaba for additional financial details on our second quarter under guidance for the third quarter of fiscal 2022. Csaba?
Csaba Sverha: Thank you, Seamus and good afternoon everyone. We are very excited to report another quarter with record revenue and non-GAAP profitability that exceeded our guidance ranges. Revenue of $566.6 million increased 4% from the first quarter and 25% from a year ago. Revenue outside drove strong non-GAAP earnings of $1.50 per diluted share.  Looking at revenue in little more detail, optical communications represented 80% of total revenue at $450.8 million up 5% from the first quarter. Within optical communications we saw growth in both telecom and datacom revenue to record levels. Telecom revenue increased 4% from the first quarter to $352.7 million and datacom revenue increased 11% sequentially to $98.1 million. By technology, Silicon Photonics products increased 16% sequentially to $157 million, or 28% of total revenue; a new record. Revenue from products rated at speed of 400 gig or higher grew 8% from the prior quarter to $187.5 million. Revenue from 100 gig products increased 3% from Q1 to $139.8 million. Non-optical communications revenue was $115.9 million, essentially flat from the first quarter. Within non-optical automotive revenue was $47 million down 3% from last quarter, and industrial laser revenue of $35.6 million decreased 5%. Other non-optical communications revenue increased 10% from the first quarter to $33.3 million. With contribution to growth from our new product introduction facilities in Santa Clara and Israel. As I turn to the details of our P&L, expense and profitability metrics provided on a non-GAAP basis unless otherwise noted. A reconciliation of GAAP to non-GAAP measures is included in our earnings press release and investor presentation, which you can find in our Investor Relations sections of our website. Operationally, we continue to run very efficiently. Gross margin was 12.5% up 40 basis points from Q1 and at the upper end of our target range. Operating expenses in the quarter at $12.1 million or 2.1% of revenue. This resulted in operating income of $58.7 million. Non-GAAP operating margin was a record 10.4%. While we continue to expect positive operating leverage trends in the near term, we anticipate returning to operating margins in the 9.5% to 10% range. Effective tax rate was 2.4% in the second quarter and we continue to anticipate that our tax rate for the fiscal year will be approximately 3%. Non-GAAP net income was a record at $56.2 million, or $1.50 per diluted share. On a GAAP basis net income was $1.30 per diluted share. Turning to the balance sheet and cash flow statement. At the end of the second quarter cash, restricted cash and investments were $520.2 million, down $8.4 million from the end of the first quarter. Operating cash flow was $18.6 million. With CapEx of $17.3 million free cash flow was $1.3 million in the quarter. Cash balances at the end of the quarter also reflect the repurchase of 38,300 shares at an average price of $115.82 for a total cash outlay of $4.2 million. As a result $76.7 million remain in our share repurchase organization. Now I will turn to our guidance for the third quarter of fiscal year 2022. Based on continued strong demand largely across the board, we are expecting revenue from both optical and non-optical communications to be flat to up in the third quarter. This includes the impact of slightly higher supply chain headwind which we estimate will be $30 million to $35 million in the third quarter. For the third quarter, we anticipate revenue to be in the range of $560 million and $580 million. We anticipate non-GAAP net income to be in the range of $1.48 to $1.55 per diluted share. In summary, we are very pleased with our results for the second quarter. We are optimistic that increased demand levels and strong execution will again produce a strong performance in the third quarter. Operator we are now ready to open the call for questions.
Operator: [Operator Instructions] Our first question comes from the line of Alex Henderson of Needham. Your line is open.
Alex Henderson: Hey guys, nice quarter. Thanks for the [print]. So when you talk about your headwind of $30 million to $35 million, I am looking at the supply chain all the way up and down from the system of the components to the contract manufacturer. And it seems pretty clear to me that may be what you're seeing in terms of orders in-house, but these companies are running backlogs of 30% to 50% of a full year's product sale. Obviously, they're not passing that on through. Can you talk a little bit about how we measure the 30 million to 35 million versus the implied order growth of the chain that is so much significantly larger than what you're talking about? I mean 30% to 50% of the full year's backlog will eventually find its way into your revenues, right?
Seamus Grady: Hi Alex. Yes, I think, kind of a message around -- the demand remains quite strong. So it's illustrative circumstances kind of a mixed message. But the demand, as you rightly point out is very strong, which is good news. But that increased demand is putting increased pressure on the limited component suppliers that are out there. We've been seeing we've heard some people say that the demand, I'm sorry, that the supply constraints are set to ease. We haven't seen the evidence of that thus far. If anything it is tightening as you can see in our guidance, we've increased the amount of the impact to two components constraints. And that's really driven by a couple of factors. One is, like I said, the demand is very robust. So that's putting increased pressure on the limited supply of components that are out there. And secondly any surplus components that were out there in the broader supply chain in the distribution market or in the broker markets that's drying up now. So we're really dealing directly with manufacturers at this point. Like I said, demand is quite strong and the surplus products or alternate products that were in the supply chain, they've been shaken out at this point. So we do see it continuing to be a pressure point for some time to come.
Alex Henderson: Just going back to the question, Seamus. So the question really is, when you talk about $30 million to $35 million, that's firm orders for the current quarter, that doesn't reflect anything that might be in the backlog on the systems basis at the OEMs that are ultimately the end users of the product. Is that a fair way to think about it? So that there's actually a much larger pent up demand than what's captured by the $30 million to $35 million?
Seamus Grady: Yes, I think that's a fair way to look at it. That $30 million to $35 million that's the headwind that we see on our ability to deliver the demand, the commitment for this quarter. It doesn't look at beyond this quarter. So yes, I think your statement is very fair but demand is very strong. And the demand continues to be very strong from the broader customer base.
Alex Henderson: If I could on a somewhat different subject, the Thai BOT has been giving you a nice advantage to your cost structure for a while now as a result of it really kind of falling off the table. And if I look at the income statement, you've had much better than expected gross margins, and much better than expected OpEx hitting double digit operating margins, which is certainly at the upper end of your traditional band. How do we think about that aspect of it? I mean, the BOT seems to have stabilized in this range after coming down pretty much over the summer and into the fall. Do we look at it as to get the little bit of upside to the revenues? Was your ability to buy parts and that helps you on the gross margins? And does the 2.1 down from 2.3, 2.4 is that the sustainable level at this point on OpEx? Thanks.
Csaba Sverha: Hi, Alex, this is Csaba. So let me take it one by one. So indeed, the Thai BOT has been somewhat stable in the last six months. So we did start to see the pickup in our cost structure both in COGS and OpEx in the last quarter. So as you know, we have our hedging program in place. So that kind of gives us a pretty stable impact going forward. So I anticipate that this is going to be somewhat stable in the next six months. Secondly, our cost structure and BOT spending is primarily on our labor and overhead side. So in terms of material we are really buying in U.S. dollars mostly. So there is no impact or whatsoever or we cannot use the leverage of the [V BOT] to buy in advance. So that's definitely impacting our COGS and OpEx line from labor perspective. In terms of operating expense yes, it was down sequentially. And obviously, it's also part Thai BOT has playing that. So we also have some seasonality tailwinds in the OpEx structure. So in the longer term, we anticipate it to be returning to that 2.5% to 3% range going forward. So I think that's pretty much I think I summarized all your questions.
Alex Henderson: All right. And then just below the line, you've had a pretty little bit of an unusual swing where all of the interest income and interest in forex all going negative. Can you give us any sense of what you think that's going to look like in the March quarter if you aggregate them all?
Csaba Sverha: So we are typically not guiding below the line numbers. So it's always a function of the exchange rate and the Thai BOT assets that we have on hand. So that's basically what you would see. I would expect and anticipate the neutral line in there going forward.
Alex Henderson: All right. I'll see the floor. Thanks.
Seamus Grady: Thanks Alex.
Operator: Thank you. [Operator Instructions] Our next question comes from Samik Chatterjee of JPMorgan. Your line is open. 
Samik Chatterjee: Great. Thank you. Hey guys. Hey Seamus. Hey Csaba. Quicl questions. So first on a clarification, I think you mentioned you expect the operating margins which, by the way, congrats on the strong gross margin and operating margin this quarter. You expect them to sort of come back in a bit and you said longer term. But just want to clarify, are you saying those come back more in line with your historical levels from the third quarter itself or maybe if you can just clarify that comment for me first.
Csaba Sverha: Hi Samil this is Csaba. So yes, we indeed had a record low 2.5% OpEx. So it's primarily [used] obviously, one of the factors is the operating leverage that we see on the strong top line growth as well as I as indicated earlier, we had some seasonal tailwind as well. So when it comes to a longer term, we are anticipating it to be somewhere around 2.5% to 3% range going forward. So I think historically, we'll be running into that range. So if I set aside the exchange rate and seasonality, we anticipate to stay in the 2.5% to 3% range going forward.
Samik Chatterjee: Got it. Okay. So in the [indiscernible] my question, essentially on the gross margin, I mean, you had really strong gross margin this quarter that is despite all the supply headwinds you're navigating through. How should we think about sustainability of these kind of gross margins, particularly as the volume leverage seems to be quite well assured as you will continue to benefit from the strong demand as you've talked about.
Csaba Sverha: So yes, indeed, we had a very strong 12.5% gross margin quarter. So we feel pretty good about sustainability. So we have always said that our target range is somewhere between 12% to 12.5%. So when it comes to operating leverage, our fixed cost price is not that high. So I think we will see more benefit on the OpEx line and operating margin line as we grow organically. That's what we have been seeing over the last couple of quarters. So with regards to gross margin, we anticipate to hold and maintain our target range of 12% to 12.5% as we look ahead. We continue to execute very efficiently and as you may remember, we had some one time headwinds in the last quarter. So sequentially we obviously grew this quarter and we continue to expect to stay in our target range 12% to 12.5.% 
Samik Chatterjee: Okay. I don't know if you guys will allow me to squeeze in one more here. But like as we look at the first three quarters here, particularly with your guidance for March, you're doing above 20% year-on-year growth which is a step function up from the 15% growth that you did in fiscal ‘21. Looks like you are sort of going through a high point in the cycle in terms of optical. So maybe if you can share your thoughts particularly as you think about the capacity expansion and the capacity coming through as well? How sustainable are these sort of 20% plus growth levels and in terms of what you're hearing from your customers?
Seamus Grady: I think it's a tough one to answer accurately for me I think. If you look at the last couple of years we have had this you're right, it's outsized growth a lot of which is driven by the, if you like, the underlying growth in the business is quite strong. I think we're servicing the right customers and building the best products with really good growth for those customers. But also we've had some large wins and we've been able to deliver outside growth the last couple of years.\ If you look back last year, we had the big win from Cisco and the prior year, we had a big win from Infinera, that accordion visits from Infinera. So we have had, the underlying growth has been very strong. And then we supplemented that with these large, complete network system wins. We've been able to do that without negatively impacting our gross margin. So we're very focused on just continuing on that path winning the right products, from our customers, making sure that we're building -- we're always working on the next generation products and also continuing to work on these larger opportunities. They don't come along easily. They take a long time to secure, but we continue to work very hard on those. So obviously we're not going to give most of your growth projections, but we feel good about the trajectory that we're on. We have our new capacity expansion coming online at the end of the fiscal year in the kind of June/July timeframe, we should be opening our new facility in Schaumburg, which is an additional 1 million square feet. So it's an exciting time. We feel good about the products we're making for our customers, the customers we have, and the business wins we've been able to secure and also these large expansions that we've been able to secure with our customers. So we feel good about the growth path that we are on.
Samik Chatterjee: Thank you. Thanks a lot.
Seamus Grady: Thank you Samik.
Operator: Thank you. At this time, I'd like to turn the call back over to Seamus Grady for any closing remarks. Sir?
Seamus Grady: Thank you. Thank you for joining our call today. We delivered a very strong second quarter reflecting the combination of strong demand trends and effective navigation of component charges. With both of these trends continuing into the third quarter, we're optimistic that we can again deliver excellent financial results in Q3. We look forward to speaking with you again. Goodbye.
Operator: And this concludes today's conference call. Thank you for participating. You may now disconnect.